Tim Thompson: Welcome to the TD Bank Financial Group's third quarter 2008 Investor Presentation. My name is Tim Thompson and I’m Head of Investor Relations at the Bank. We’ll begin today’s presentation with strategic remarks from Ed Clark, the Bank's CEO after which Colleen Johnston, the Bank's CFO will present our third quarter operating performance. Bharat Masrani, Group Head, U.S. P&C Banking will then provide an update with respect to our integration, initiatives in our U.S. P&C segment. We will then entertain questions from those present and from pre-qualified analysts and investors on the phones. Also present today to answer your questions are Mark Chauvin, Chief Risk Officer; Bob Dorrance, Group Head Wholesale Bank; Bernie Dorval, Group Head Global Insurance; Bill Hatanaka, Group Head Wealth Management and Tim Hockey, Group Head, Canadian P&C banking. As in the past we’re trying to keep the call to about one hour with Ed, Colleen and Bharat’s remarks taking up about half that time. Please turn to page two. We know that this presentation contains forward-looking statements and actual results could differ materially from what is discussed. These statements are presented for the purpose of assisting our shareholders and analyst and understanding our financial position as at and for the periods ended on the dates presented and our strategic priorities and objectives and may not be appropriate for other purposes. Certain material factors or assumptions were applied to making these statements. For additional information, we refer you to our Q3, 2008 MD&A. This document includes a description of factors that could cause actual results to differ and can be found on our website at td.com. Let me turn the presentation over to Ed.
Ed Clark: So Colleen is going to be up shortly to provide the details on how we did in the third quarter of 2008, but I’d like to start by giving my thoughts on TD’s performance and provide an update on our outlook for the remainder of this year and into 2009, but before I do that and before I get into all that discussion I really want to talk about TD Canada Trust’s recent win of the J.D. Power Customer or Service Award. For TDCT this is the third year in a row and comes on the heals of the Commerce Bank third win in a row. These are exceptional achievements and they flow directly from our continued investments to own the convenience and service space, in retail banking in both Canada and the United States. Now excellence in customer services is in our view the bedrock of franchise building and it’s a key to generating long-term earnings growth in retail banking, but we all know that…
Audio Gap: ….and the U.S. housing prices start falling, we know we finally hit the bottom and we think we’ll be able to get a better idea where that bottom will come sometime during the first half of 2009. Now, despite these market and economic issues, what remains remarkable is that we continue to deliver very strong results in our retail businesses. $1.1 billion in profit overall, which is more than 90% of our earnings this quarter. We started out this year saying we are going to try to work hard to get close to $4 billion in retail earnings in 2008. At this point we clearly have a very good chance to exceed $4 billion with our third quarter annualized run rate for retail earnings of almost $4.5 billion. In Canada, TD Canada Trust achieved record volume growth, strong share growth in deposits, record customer satisfaction scores and a record efficiency ratio of just under 50% and these results were delivered while we continue to invest in the business opening 11 new branches and supporting our longer hour strategy. We continue to deliver solid results in Wealth Management despite the market weaknesses largely because of the payoff from past investments. We are going and keep investing in this business to continue our growth in the future. So, what do we see looking ahead? Well we are still worried that a slowing worldwide economy will hurt Canada; however, we have not yet seen evidence of a slowdown in our business volumes and our credit numbers remain very stable. More good news came from the U.S. Personal and Commercial Banking, which now includes the earnings contribution of commerce. Our estimate for U.S. P&C as we reiterated back in June at our Investor Day was to earn $250 million in Q3. So we are obviously quite happy with the progress in this business having earned $273 million the significant over performance. Our main business challenge reflecting the funding challenges of our competitors is the deposit environment in the United States, where some major banks are paying above the wholesale cost of funds for retail deposits. It will continue to be for us a very tough balancing act, managing the tradeoff between deposit growth and margin compression. We are determined though to defend our customer base even at the cost of margin compression; however, somewhat offsetting this trend we see strong growth for commercial loans and widening loan spreads. We also see continued solid asset quality. Provisions for credit losses came in at $76 million well exceeding net charge-offs and building reserves on an appropriate pace reflecting our traditional conservative approach. Now, I know that the market continues to struggle with the fact that we don’t seem to be taking big write-offs on our U.S. investment portfolio or that we’re not recording big loan losses in the United States, so let me comment on this. On the investment portfolio purchase from commerce, it’s important to remember that we wrote it down to its market value on March 31, 2008. We’re comfortable with that portfolio and continue to believe that the intrinsic value is significantly greater than the fair value. I know some investments have expressed interest in our exposure to Fannie May and Freddie Mac in the United States; let me be clear, we have no common or preferred equity, no subordinated debt and no unsecured debt exposure. We do have some exposure in our investment portfolio to MBS securities consisting of prime, conforming mortgages guaranteed by these entities and depending on how developments unfold, we could see taking on a reasonable amount of unsecured exposure in the future provided that risk issue surrounding these institutions are satisfactorily resolved. On our online portfolio, we clearly continue to perform very well on almost any metric compared to our U.S. competitors. Clearly we are an out performer. There are three key factors that have set us apart; where we lend? What we lend? And how we lend? So, where did we lend? In our market, the U.S. northeast, one of the areas of United States that has had much better housing experience than the rest of the country over the past year. What did we lend? In server of loan products built on conservative lending standards at both TD Bank North and commerce. As an example, in our home equity booked about a third of it is a first lien portfolio and how did we lend? Using our own people and distribution systems, not third-party commission sales people; we didn’t buy loans from outside our footprint. That’s our triple play and when you consider these factors it’s really not surprising why we’re confident. We’ll continue to be a positive outlier on asset quality.
Audio Gap: Looking forward we’re going to stick to our strategy. We’re going to do what we set out to do, we’re building a lower risk, retail focused, leading North American Bank and we’ve got a great base going into 2009. If you look at our Q3 annualized run rate for retail earnings at about $4.5 billion and we intend to grow from there. Our commitment to growth is reflected in the increase in our dividend. We set out our long term dividends will grow inline with our earnings over the medium-term. This increase reflects the Board’s confidence and the strength and stability of our earnings as we head into 2009. Now, even with the strength of our retail businesses, we’re not going to get to last year’s level of earnings per share, given the weaknesses we have this year in wholesale. That said we still believe we’ll follow-up 2009 with growth rate inline of our medium-term EPS target of 7% to 10%. So while we believe that the effect of the economic slowdown in the United States and Canada will reduce retail growth rates there, we’re confident our franchise strength will continue to position us as a positive outlier in both Canada and the United States and we’re optimistic and excited as we move closer to our goal of building the first truly North American bank. On that note, I will turn things over to Colleen.
Colleen Johnston: Thanks Ed and good afternoon. Let me take you through the third quarter. Please turn to slide four. Let's start with the quarterly highlights. Total Bank adjusted net income was $1.1, down 4% from last year. This translated to adjusted diluted earnings per share of $1.35 down 16% from Q3 2007. The main reason for the year-over-year difference between earnings and earnings per share performance was last quarter’s issuance of approximately 83 million shares related to our acquisition of Commerce Bancorp. Total retail earnings were $1.1 billion, up 25% representing 97% of total earnings. Our Canadian Retail businesses were up 7% versus last year to $771 million for the quarter. Net income from our U.S. Retail businesses, TD Bank and TD Ameritrade was $347 million. This is the first quarter we are including Commerce Bank core earnings in our results. As announced previously, our North American growth strategy includes the alignment of our credit card, insurance and wealth management businesses bringing these U.S. and Canadian businesses together. Financial results have moved from U.S. P&C to the Canadian P&C and wealth segments for the first time this quarter. The movement is immaterial of the net income level, but has some minor impact, online item trends. Our wholesale net income of $37 million was down 85% versus a very strong Q3 of 2007. Results in the segment were negatively impacted by the miss pricing in TD Securities, which had an after-tax impact of $65 million or $0.08 per share. The corporate segment posted a loss of $40 million on an adjusted basis compared with $20 million in earnings last year, a negative swing of $60 million year-over-year. Our Q3 Tier 1 capital ratio was 9.5%. On slide five, we see reported net income was $997 million or $1.21 per share and adjusted net income was $1.1 billion or $1.35 per share. The difference between reported and adjusted results is due to four items of note. The first two items are recurring. This quarter’s integration charges related to the commerce transaction that totaled $23 million pre-tax and $15 million after-tax. The tax item of $14 million or $0.02 per share relates to the impact of a reduction in future income tax assets associated with the Commerce acquisition. A related tax benefit, which was $21 million, is included under amortization of intangibles. Slide seven shows our combined Canadian retail business which includes Canadian P&C and wealth results. Net income was $771 million, a new record up 7% year-over-year. Let’s move to slide eight; TDCT show results for Canadian Personal and Commercial banking. Net income of $644 million was up 8% from Q3 of ’07 and 11% from Q2 of ’08. This was a quarter of records for Canadian P&C, record net income, record revenue, record volume growth, a record efficiency ratio, record return on invested capital and record customer service levels. On slide nine we show revenue of about $2.3 billion up 8% from last year primarily due to strong volume growth in TDCT. Transfer of the U.S. businesses contributed about 1% growth in revenue and 2% in expenses. NII increased $97 million or 7% year-over-year primarily due to volume growth over a wide variety of product areas. Of note business banking deposits were up 23%, Visa was up 20% and personal deposits were up 16%. Our increase in branches, 11 this quarter and 19 year-to-date are longer hour’s initiative and our superior customer services all worked to produce increased volumes. Other income was up $64 million or 9% from last year driven primarily by increases in credit card and business banking fees as well as new deposit fee initiatives implemented this quarter. On slide 10, we show our net interest margin for the quarter at 298, down 9 basis points from last year, but up 2 basis points from last quarter. Our margin was up 2 basis points from Q2 of ’08 driven by favorable changes in volume and mix and the transfer of U.S. businesses partially offset by the impact of higher funding costs. Compared with last year margins compressed due to continued higher funding cost, ongoing deposit competition and a shift in asset mix. Turning to slide 11, provision for credit losses increased $43 million from last year to $194 million and was also up $3 million from last quarter. If you exclude the impact of transferred U.S. businesses, PCL’s were down slightly quarter-over-quarter. Personal banking provisions increased $32 million to $179 million year-over-year primarily due to higher personal lending provisions. Visa PCL’s were flat year-over-year and down 10% from Q2. Business banking provision for credit losses increased $11 million to $15 million year-over-year, but flat quarter-over-quarter. Despite signs of the economy slowing down consumer credit growth has remained strong. With respect to business credit provisions have been at low levels and will likely increase as we go through the next part of the cycle. Slides 12; expenses of just over $1.1 billion were up 8% over the last year and up 3% versus last quarter. The year-over-year increase in expenses resulted from increased number of branches and hours, related increases in compensation and the transfer of U.S. businesses. Excluding the transfer of the U.S. businesses we had a positive GAAP in operating leverage of about 1%. We expect to see some improvement in operating leverage moving forward now that the cost of the longer-hour strategy will be fully included in the comparables. On slide 13, we’ve listed our most recent market share data. This was a record volume quarter with $14 billion of combined growth in loans and deposits year-over-year. This is the highest amount of volume growth ever recorded at TD and was evenly split between deposits and loans. Let’s turn to Wealth Management on slide 14, which excludes TD Ameritrade. This business generated net income of a $127 million flat versus last year, but up 10% versus last quarter, a solid quarter given the tough market environment. Slide 15, total revenue of $609 million increased 4% from last year primarily due to the transfer of the U.S. Wealth Management business. Discount brokerage revenue was up year-over-year, an increase in average trades per day and higher margin and deposit balances were partially offset by a decline in commissions per trade. Revenue from the advice channels was flat year-over-year as asset growth and financial planning and private client group was partially offset by lower new issue and trading revenues in private investment advice. Expenses were up $26 million or 7% year-over-year, mostly due to the transfer of the U.S. Wealth Management business. The negative operating leverage this quarter is mostly due to the transfer, but also from our continued investment in our advice businesses while revenues were flat year-over-year.
Audio Gap: We showed you base earnings of $250 million; clearly we well exceeded that number. The P&L won’t line up exactly because of transfers from U.S. P&C to Canadian P&C and Wealth Management with no net earnings impact. Back in June at our Investor Day, we talked about six earnings drivers for the segment; they were organic growth, improved lending spreads, better product management, higher yields in the investment portfolio, expense discipline and the realization of synergies, all of these drivers contributed to our performance this quarter. Slide 20; revenue for the quarter was USD $1 billion. On a combined basis, we had great volume growth in loans which were up 10% from Q3 of ’07. Commercial loan growth continues to be very strong as many of our competitors retrench and we’re seeing better pricing with spreads widening particularly on larger deals. At the same time, we’ve tightened underwriting in critical areas and the asset quality of new deals is strong. Consumer loan growth has been modest, but increasing which has been offset by continued declines in our residential book. On deposits, overall deposit growth has slowed in the current environment. Deposit volume growth was up 2% from a year-ago driven by growth in retail core deposits and commercial deposits partially offset by volume declines in retail term deposits. We saw a modest decline in deposits quarter-over-quarter. The margin for the quarter at 392 is above the estimate provided last quarter. Our margin is coming under pressure due to intense competition and our decision to price deposits to defend our franchise. The margin in Q3 reflects the current market environment with higher yields on investments and higher spreads on new business. We began the quarter with the very strong margin, but realized our deposit pricing was inhibiting growth. As such we adjusted pricing during the quarter and are beginning to see the positive impact on deposit growth which will affect our margin going forward. We would expect to see our margin in the upper end of the previously forecasted range of 350 to 370 in Q4. We expect most of the revenue impact of margin compression to be offset by addition of synergies and loan volumes. Slide 21; at $75 million PCL’s when keeping with our previous guidance with net charge-offs of $34 million, down $8 million from last quarter allowing us to build reserves in the quarter. The past two weeks trended slightly lower in both the investment real estate portfolio and the commercial loan portfolio. Non-performing loans as a percentage of total loans remained flat quarter-over-quarter inline with expectations. Slide 22, expenses were lower than our original estimate due to the transfer of the North American businesses and lower core expenses achieved through process improvements and other efficiencies. Excluding integration charges the efficiency ratio was 57.2%. Before moving to U.S. Wealth, let me comment on the investment portfolio acquired with the Commerce deal. As of June 30, 2008 the fair value of this portfolio was close to $25 billion, down $1 billion from the previous quarter due to a combination of maturities and improved results. In conclusion we had a very strong retail quarter. A record quarter in Canadian retail and our US results were well above expectations. Whole sale results for the quarter were weak. We are committed to our strategy. Our confidence in our future earnings growth is demonstrated by our dividend increase. Now let me turn it over to Bharat to comment on integration.
Bharat Masrani: On the integration front things continue to progress well from the last update provided on June 19 at the Investor Day. One significant milestone that has occurred since that time is our decision to re-brand the company as “TD Bank, America’s Most Convenient Bank” which we announced in July. The timing of the announcement allowed us to maintain our original time line, introduce our new brand in the commerce footprint in November of this year with the balance of our stores being re-branded later in 2009. The response from both our employees and customers has been positive. We have implemented what we call accommodation banking across all of our stores which allow TD Bank North and Commerce customers to conduct basic banking transactions at any one of our locations from Maine to Florida. In addition we have successfully piloted a multi-banking initiative which will allow us to consolidate many of our locations in the mid Atlantic for the next several months. Nearly a year prior to the systems conversion by collocating TD Bank North terminals into a nearby Commerce store and the response from our customers has been very positive as well. We continue to be on track to achieve our $310 million in cost synergies, also an incredible amount of detailed planning has gone into the integration and we are rapidly moving into the implementation phase and we continue to be comfortable with our target date for the integration to be substantially complete by the end of 2009 and now back to Tim.
Tim Thompson: So we are asking those participating in the question-and-answer portion to ask one question at a time. Before ending the call today I will ask Ed to offer some final remarks.
Michael Goldberg - Desjardins Securities: Other banks had separate mark downs at the same time had strong trading revenue excluding those marked downs. Why hasn’t TD’s revenue also benefited recently from the high volatility that’s been out there?
Tim Hockey: I really can’t comment on the other banks. From what I see Michael it seems that trading results and interest rate in foreign exchange businesses have been pretty good both in the US and in Canada. That was the case for TD securities. As you can see in our trading results, there is the $96 million negative resulting from this pricing and also as Colleen commented in our credit trading part of the business, we continue to have headwinds and do not perform well in that business and we were somewhat below what I would consider a more normal rate of trading in our equity business where we have a fairly large market share in Canada.
Ian De Verteuil - BMO Capital Markets: Bharat you have got the re-branding, red to green and we don’t have detailed numbers, but Colleen said the deposit numbers are down and obviously we are all concerned that as commerce is acquired I guess what can you tell us to provide a comfort that the loss of deposits is related to pricing issues and competitive issues as opposed to some sort of backlash from conversion?
Bharat Masrani: Yes, so let me first comment on the deposit numbers. As you know Ian the competition has been intense. What this liquidity crisis has done in some of our markets is to have competitor’s price deposits irrationally. It looks like there are some competitors that need to raise their funds and they feel that they should raise it in the retail markets and that has meant intense competition for deposits. We have chosen or we did for a while not to be as irrational as some of our competitors and that did result in some of the deposits running off, but we have corrected that; we have said that we will defend our franchise and there are markets where we will defend our franchise very aggressively and we are doing that and hence Colleen’s comment that the margin should normalize in the coming quarters and should not be as high as you saw in the previous quarter. With respect to branding, the key point in branding is the issue of what does the brand stand for? We have done a lot of work regarding the brand in the US and then elsewhere and the key finding is that the brand principles are far more important than the visuals of the brand itself. “America’s Most Convenient Bank” which is for us more than a tagline it is hard of our company as to what we do. We own the convenient space in the markets we are in and we will continue to do that. Providing legendary customer service is a hallmark of our brand and as you’ve seen with the awards we’ve got that that continues. Going forward as TD Bank, America’s Most Convenient Bank; will we be opened seven days a week in most of the markets that we operate in, the answer is yes. Will we continue to wow our customers, the answer is yes. Will we be the leader in convenience and service in all the markets, the answer is yes. So I feel that the branding decision is never easy but as long as we stay true to what America’s Most Convenient Bank means, I feel comfortable that we will continue to grow our franchise down there and the deposit numbers is solely a reflection of pricing and competitive impressions. So I’m comfortable that that is what is happening. I do not feel that it is to do with TD’s ownership or the branding that we just announced.
Operator: Your first question comes from Jim Bantis of Credit Suisse, First Boston.
Jim Bantis - Credit Suisse, First Boston: I just want to follow up with Bob regarding the trading results and you had touched upon some challenges on in credit rating in particular and I just wanted to get a sense of perhaps like what’s going on with your business in that regards. If you had a couple of hiccups in the London office; I mean was there a business that you were doing exceptionally well in the past that you no longer are participating in. I’m just trying to get a sense of why the drop off and may be is there a possible resurgence as you get that business a little bit more reorganized. If you can talk a little bit about it from that prospective, Bob.
Robert Dorrance: Sure we had a credit trading business in TD Securities for 10, 12 years at least and basically it is significantly a proprietary trading business that has evolved trading in London, New York, Toronto and we have done well over time with that business. The issue that we’ve had in the last year essentially is the liquidity issue in North America and the book basically is a book that is on average been long assets or long bonds protected with CDS and looking for anomalies and trading strategies, so try not to take directional risk in trading but to take relative risk in trading on a protected basis. What’s happened in liquidity and I think we talked about it in the last number of quarters is that the basis between where bonds trade and where CDS trade wined out significantly as liquidity dried up and people did not want to hold bonds and rather hold credit from CDS. That has been the major head win for the last twelve months, although in the last quarter that was not really the story of the poor performance. It didn’t help and it didn’t hurt in a major way. The last quarter was more around just the direction of credit curves etc that hurt and we had happened to make a particularly strong performance in the previous year’s quarter and in credit ratings, so this quarter, quarter which just ended wasn’t a disaster but wasn’t great and looks particularly poor and adding to that this mis-pricing that we found and announced during the quarter. Credit trading has always been an important part of our revenue and it has been absent in the last twelve months. We continue to review businesses as we go along and review strategies and review opportunities and we are doing that at this point in time Jim.
Operator: Your next question comes from Brad Smith of Blackmont Capital; please go ahead.
Brad Smith - Blackmont Capital: I have two very quick questions; one was with respect to the consolidated loan portfolios in the US P&C bank here I was wondering if I can get some estimate of what proportion of those loans have been initially underwritten under the TD standard as opposed to the predecessor management of acquired companies. Then the second question was just based on the comments about the deposit market share strategy and the possibility of lower net interest margins, just wondering if you could judge opposed that with the idea that the targeted profit for ‘09 from US P&C banking is unchanged. Can you give me some sense for where you think you can make up the difference?
Bharat Masrani: I don’t have the exact percentage of what percentage of loans were underwritten after TD acquired this banks, but I can say that the underwriting standards followed by TD Bank North and Commerce prior to TD’s acquisition and post TD’s acquisition have been the same and frankly having been in the risk business myself I would say that those standards are reflective of what TD would have done if it originated these loans from scratch in the United States. I don’t have the exact percentage. With respect to your second part of your question that if margin pressures continue and we are comfortable with our guidance for ’09, I’m okay with that because we do have to make that up; I see loan growth providing us some tailwinds there. I also see good expense management helping us out and I can tell you I guess I get paid the money to make sure that we deliver the number. So right now based on what I can see I’m comfortable with the number we put out.
Brad Smith - Blackmont Capital: Thank you Bharat, but I guess my point is whatever you thought you could do on expenses and on loan growth etc was reflected in your $1.2 billion estimate. Now we’re seeing or hearing about a margin strategy or at least a deposit strategy shift that’s likely to reduce deposit margins by some amount, I don’t know what. I guess what I’m trying to get at is are you going to become more willing to play the yield curve, get involved in the carry trade like your competitors, is that part of how you are going to make up that difference and still hit your targeted income?
Bharat Masrani: No, so the answer is no to the examples you posted on how we would make income up. Yes, we will be competing aggressively for our franchise customers, but I would expect us to pose them deposit growth that should allow us some relief there. Like I said, we give you a number of $250 and we have exceeded that and that’s a good number, I’m comfortable with it based on the trends I see in the market. I’m comfortable with the $1.2 billion that I put out there and yes, there will be margin pressure, but as we’ve seen in markets there will be some other offsets in the market and based on what I can see I’m comfortable with the number we put out.
Operator: Your next question comes from Shannon Cowherd of Citibank Group; please go ahead.
Shannon Cowherd – Citibank Group: I was just wondering if there were any plans to eliminate or scale back on some of the traditional commerce bank client experience features to sort of help moderate expenses.
Bharat Masrani: The answer is no.
Operator: Your next question comes from Andre Hardy of RBC Capital Markets; please go ahead.
Andre Hardy - RBC Capital Markets: Colleen on page 19 of your report to shareholders, you’re helping us to understand how much the fair value VLT portfolio had declined in July. Obviously, that would prior decline further in August, I’m just wondering if you are willing to help us to understand what would happen in August, but also from a broader perspective basically all mortgage-backed assets would have declined in value, not just Alt-A; so can you help us to understand what may have happened in July and/or August in non-Alt-A residential mortgage-backed securities in the U.S.?
Colleen Johnston: Andre we have disclosed the July change in the Alt-A evaluation, we’re not disclosing anything further into August, but as I mentioned there have been several downgrades that we did fully anticipate when we did our analysis of the portfolio and so those have been included. As I mentioned in my comments, all of these are obviously available for sale of securities and any of the differences go into other comprehensive income does not affect our capital ratios. We’re really not seeing much change in terms of the MBS side, I don’t know if Mark has any further data on that, it’s really been more on the Alt-A side.
Mark Chauvin: We continue to monitor the investment portfolio closely, cost arrange the Alt-A’s and to the conforming mortgages and we’re really not seeing anything that’s unexpected from what we had thought when we looked at the portfolio in March, is performing along these trends and we are very comfortable in our position that the liquidity premium that’s been charged against them is reducing their market values today, is putting them below their intrinsic value from our perspective and that position really hasn’t changed at all.
Andre Hardy - RBC Capital Markets: Is there anything about your book maybe that’s shorter duration than average, because spreads on Freddie and Fennie backed mortgages widened quite a bit in July, yet you’re suggesting that you’re not seeing much in your portfolio securities?
Mark Chauvin: No, I was talking about the credit metrics not necessarily commenting on where the marks have gone since the end of July.
Operator: Your next question comes from Mario Mendonca of Genuity Capital Markets; please go ahead.
Mario Mendonca - Genuity Capital Markets: My question is sort of similar; credit spreads have really moved out, I mean they’re obviously pretty volatile. What I’m getting at perhaps for Colleen, there comes a time when the mark-to-market is either sufficiently below the carrying value or has been there for a particular amount of the time, where I think some of that judgment goes away and you have more of a sort of a bright line and you impair the security. Does that methodology exist in TD’s approach to valuing these securities and when to take the impairment charge?
Colleen Johnston: So, that is the way the accounting works. Mario it’s that obvious we’ll continually reassess the intrinsic value and if there is any dramatic change in that intrinsic value we would have to take a look and make a judgment as to whether or not there was a permanent impairment in the value of the security. If that was the case in fact we would have to write it down and that would go through P&L. So, we will monitor that on an ongoing basis.
Mario Mendonca - Genuity Capital Markets: Alright, what are the roles that the Bank is in terms of the magnitude, the percentage decline and the amount of time?
Colleen Johnston: There aren’t any specific rules. There are guidelines that we use for our securities portfolio generally. I mean in Canada there are certain U.S. GAAP rules, which are pretty clear-cut that if a security is below 90% of its value, for a period of over six months and at that point it would be a pretty good indication of impairment and you would have to make that assessment. There aren’t those rigid rules around this particular portfolio and we’re still evolving that framework in terms of assessment of impairment, but at the moment the intrinsic value as we’ve judged it initially has held up extremely well over the last period.
Mario Mendonca - Genuity Capital Markets: But you’re not at the 90 and you’re certainly not at the 6 months; is that what you’re telling us right now?
Colleen Johnston: I’m not inferring that we’re applying that framework in the United States; I’m saying that’s the kind of framework we have in Canada, but we are putting that framework in place in the United States and again those judgments will be made based on the intrinsic value which I would say has been conservatively estimated.
Mario Mendonca - Genuity Capital Markets: One final thing; the Tier 1 ratio Q1 ’09, can you update us on where you think that will be once you apply the Battle II or Mari Trades?
Colleen Johnston: So roughly, the impact of the substantial deduction, the 50% is about 130 to 140 basis points, so we would expect by year-end that we should be above the 8% rate. We have done some issuance as you’ve seen in the third quarter. We issued about $0.5 billion of preferred shares, so we’ll continue to assess that. We probably are seeing a bit of pressure on the risk-weighted assets, upward pressure there as well, but I think you’ll certainly see us above the 8% Mark.
Mario Mendonca - Genuity Capital Markets: Post the application?
Colleen Johnston: Correct.
Operator: Your next question comes from Darko Mihelic of CIBC World Markets; please go ahead.
Darko Mihelic - CIBC World Markets: My question was with regards to U.S. Personal and Commercial Banking. Again Colleen, I think you mentioned that the margin is likely to come in at the high end of the range you’d previously given which was about 370 basis points. It’s a fairly big drop quarter-over-quarter. I guess the question is what would be the main driver; is it just deposit pricing and is it possible that can go to 350 in the quarter thereafter and I suppose at the end of the day, what’s the big driver behind some of the volatility in that line and can it go below the other end of your range?
Bharat Masrani: The main driver there is obviously as I said, deposits pricing. Now what you saw in the quarter just ended is we did have runoffs in what I would call high price deposits and that has an impact at your margin expense, but those are very high priced deposits, so they do not have as much impact on your NII, but as we compete for those deposits, obviously the margin is going to come down. Now, is this competition going to get so intense that it may go below that? There is always that possibility, but there will also be the offset or if we are putting on new loans now that are reflective of what is happening in the market and those loans as Colleen mentioned in her remarks are having good spreads. As you can imagine in this funding market, if people are having troubled funding, then the loan pricing is going to reflect that. So, I am assuming and I’m making the assumption yes, there will be intense pressure, but there should be some offsetting forces out there and the range we’ve provided based on the information that we have available and what we see as far as outlook goes is an appropriate range to work with.
Darko Mihelic - CIBC World Markets: So then I guess the securities portfolio really is under consideration here.
Ed Clark: I think your point is that the security portfolio isn’t what’s causing the movements and I know, what's causing the movements is the sense it’s the running business, but I do think, that you’re trying to maximize NII at the end of game here, you’re not trying to maximize margin in getting this right balance and so you could move the margin around quite a lot if you start adding a lot of in-margin CDs on and this battle right now is being fought in the CD world, that’s what this battle is being fought. What we’re saying is that we’ve initially said “we’ll lets not do something stupid,” we’re kind of as you know economic profit maniacs here and we said “let’s back off here” and then we found that that sent our margin up, but we don’t like this result, we don’t think in the end that’s going to be good for our customer base, so we decided to get back in. We’re telling you, that’s going to bring the margin down and I’d say that’s the core thing that’s going on here.
Operator: Your next question comes from Jim Bantis of Credit Suisse First Boston; please go ahead.
Jim Bantis - Credit Suisse First Boston: Mark I can appreciate that today’s numbers don’t reflect the slowing situation in Ontario in terms of the economic conditions and TD CTs, is the one particularly sensitive to Ontario than some of the other banks. I’m wondering if you can maybe just look out beyond what the numbers are saying to date, but if we look at the headlines in the papers regarding the job loss numbers were coming mainly out of Quebec and Ontario and we were just seeing obviously a lot of plan closures and other types of appointment issues and I’m just wondering if you can maybe just look ahead a couple of quarters and give us from your experience, what we should be anticipating in terms of what’s going on in Ontario to impact your information’s?
Mark Chauvin : Yes, certainly. I probably in the last couple of quarters would have looked at a couple of quarters that have been wrong, because we feel that it’s a bit overdue in fact. Our quality in the commercial bank primarily is at historical levels and it certainly couldn’t get any better. We’ve seen a few shocks to the economy already, such as the higher Canadian dollar, plan closings in certain sectors and it’s not having the impact that we would have expected, but clearly I think at some point its going to come and if there is a deeper economic problems certainly we would expect an increase in whether it’s gross impaired formation’s or impaired loans, but I’m comfortable that we’re well positioned today whether that’s a storm, we’ve kept very consistent lending standards in my view over the last several years and if we go into this and that we should feel relatively well. Now, I can’t predict the levels, I certainly would expect them to go up, but I think that they would stay within manageable amounts because there is fundamental things that we did in previous recessions that we aren’t doing now and now there is obviously the new thing that might hit you but I think that we’ve been worried about this for so long now, the last couple of years I think we should at least be a little more better positioned for it than we have in the past.
Ed Clark: Tim do you want to comment on this and you might comment, because I’ve always had this view that we’re obviously heavily overweight Central Canada versus the other major banks and I’ve been told that I misunderstand the numbers. So I’ll let you tell the rest of the world that…
Tim Hockey:  I was going to say I just completely agree with our Chief Risk Officer, but now I have to give more color. Like Mark what we’ve seen is that we would have expected a few quarters ago that we would start to see some of these effects and in fact we haven’t, but you also know that we have had an increasing PCL rate inside our unsecured lending business that the market hasn’t reflected. That’s now stabilized and in fact arguably peaked in terms of the rate. The overweight to Central Ontario, we’ve had that obviously for a very long period of time and we don’t seem to be seeing the relative job shifts to the West and their impact on our PCO’s. There are other elements of being overweight; for example there is a higher degree of fraud generally in Central Canada and Western Canada but it’s a relatively small numbers in the grand scheme of things. So, it’s just an illustration that we look very carefully at this number all the times trying to see the effect, but I’d reiterate that I would agree with the Mark.
Ian De Verteuil - BMO Capital Markets: The formations in the U.S. Personal and Commercial Bank, I don’t know if Bharat or Mark can talk to; as you’re running here at a sort of $180 million of gross formations, can you give us any senses, is that the HELOC book, is that the residential real estate available for sale; were is it?
Mark Chauvin: The increase in impairs in the U.S. was in U.S. residential for sale and it was kind of moving into a bit of the New York market. We’ve seen a lot of job loss in there and that’s having a bit of an impact but it really didn’t go into the other sectors of the business. It was really still in the residential for sales, just in markets that have kind of caught up to some other markets, so that’s a $2 billion portfolio, the residential for sale of real estate.
Bharat Masrani: In our June investor I think the numbers were 6% of what we call for sale of real estate. Just to add to what Mark is saying, I won’t want you to be left with an impression that the Northeast has totally escaped from what’s going on the United States. From a relative basis it’s much better off than some other parts of the United States, but are we getting weaknesses in certain sectors, in certain markets, the answer is yes. Is the weakness more market and for sale real estate, the answer is yes as we said in our June Investor Day. What has happened in the Northeast which is a good sign is that when these projects get into trouble there appears to be a normal course workout situation and they are running out in the normal course. So, I would expect formations to continue at the rate that you’ve been seeing and if I was guessing it will more be influenced by for sale real estate and perhaps some other sectors.
Michael Goldberg - Desjardins Securities: The past two quarters, your variable comp has been relatively high compared to your brokerage underwriting and the trading revenue and even adjusting for the $96 million in this pricing this quarter was still over 80% of that total brokerage underwriting and trading. I know that these items don’t account for all of the variable comp but they never have accounted for all the variable comp. Why is the variable comp so much higher in the past two quarters in relation to these items than it’s been in the past?
Colleen Johnston: Well maybe I’ll start and hand it over to Bob, because that’s probably where the most variability is. In terms and part of the effect in this quarter is the commerce effect of those numbers coming into the expense side. We really don’t look at that kind of a ratio Michael in assessing because obviously there are various elements of incentive comp throughout the entire bank. Bob, any color on the wholesale side? Really that was the major reason for the decline in expenses versus last year
Robert Dorrance: Yes, I think the variable comp in the dealer part of the business would have moved down to reflect results. Like there are gains on securities coming out of the merchant bank where the variable comp is set by the formulas that apply in a merchant banking, the two and 20 formulas, so there were some gains. There were some gains this quarter, but also more in the previous quarter where you’re recognizing variable comp, some of those gains have been offset by write-downs, which don’t accrue variable comp until later on, so I think it’s probably more of that element, Michael. That and relatively small numbers, so in the sense of poor results, so the ratios tend to move around more.
Jim Bantis - Credit Suisse First Boston: The other things that I was going to ask about actually is that your investment gains this quarter are really low in comparison to prior periods and I can understand that equity markets are weaker and there is less potential to realize on merchant banking against merchant banking mandates that you have, but until we see a pickup should we be expecting that these gains are going to remain relatively subdued in the next little while.
Ed Clark : So, just to reemphasis Bob’s point on the comp stuff, so I have to explain this to my Board as well. I mean the reality is that the core franchise part of these securities is doing very well, so we’re quite pleased with the results and you folks know this better than I do, the system works. We can’t say to the people to perform very well, we’re not going to get paid because there’s other parts of the organization that aren’t doing so well and so it looks like enormous results on the compensation side. On the security gains, I know this will sound strange to you, but we don’t start with the earnings number we want and then trigger how much security gains we want. We do it from the bottom up and we have a philosophy, other people can have a different philosophy; my philosophy is if you start messing with these things to generate targeted earnings you can waste a lot of shareholder money and the people who run this should maximize the values of those portfolios. If that means, I don’t get security gains in the quarter I might like them, that’s my problem and not their problem. So certainly on the merchant banking side, many of those -- in fact even if I wanted to I couldn’t do anything because in the sense they’re being driven by the system out there, they are very distributive. In fact if things get realized, their takeovers, their IPOs or whatever that actuates that to and this is not a particularly good atmosphere to bring those for people in the Private Equity business to actually realize gains. So, I think certainly security gains has been over the past few years a major factor contributing to TD Securities overall performance and I think we’re telling you in the long-term I don’t think they are going to be at the same levels as they’ve been for the last two or three years and that’s why we’ve brought the targeted earnings for TD Securities down, but certainly in the next few quarters we don’t foresee a big contribution from the security gains. It might be better than we had this quarter, but it’s not going to carry the day.
Ed Clark: Well, as I think I said earlier, thank you. We’re actually quite pleased overall with the quarter even though the one element that we were obviously not pleased with the mis-pricing. We are on track to achieve what we set how to do in retail earnings which were $4 billion and I think we’ve established a very excellent jump off base for 2009. As I was just saying while wholesale earnings are weaker, when we look at where we stand in institutional equity business, where we are in debt underwriter and debt syndication how our core franchises are doing, we remain quite pleased, but we clearly are transitioning down to our lower running rate for TD Securities. I think our confidence in the future is reflected by our decision to increase our dividend by $0.02 and obviously all of us in the organization remain focused on execution, particularly in making sure that we have a successful integration between Commerce and Bank North. Thank you for taking the afternoon.
Tim Thompson : With that I’ll end the meeting. Have a good afternoon.